Phil Lindsay: Hello, and welcome to Technip Energies’ Financial Results for Full Year 2024. On the call today, our CEO, Arnaud Pieton, will discuss our full year performance and business highlights. This will be followed by our CFO, Bruno Vibert, who will share more details on our financials. Then Arnaud will come back with the outlook and conclusion. We will then open for questions. Before we start, I would urge you to take note of the forward-looking statements on Slide 3. I will now pass the call over to Arnaud.
Arnaud Pieton: Thank you, Phil and hello, everyone. Before diving into our results and 2024 highlights, I would like to remind you of who we are at Technip Energies and of our unparalleled value proposition. We are leaders in energy and decarbonization markets, prioritizing safety and innovation and our 17,000 talents are the cornerstone of our success. We are a technology and engineering powerhouse, focused on value creation, expanding and diversifying our portfolio. Our ambitious road map through 2028 underscores T.EN's growth credentials; over €8.6 billion in revenue, over €800 million EBITDA and a free cash flow conversion between 70% to 85%. We are equipped with a strong balance sheet generating significant and sustainable free cash flow. As we execute our growth strategy, prioritize capital allocation for dividend growth and value enhancing investments; we will accelerate value creation for all our shareholders. Now let me remind you of our business models, which have complementary strength and business cycles. Project Delivery PD is cash generative, negative capital employed and derisked with a business cycle that brings several years of workload and cash flow visibility. PD is a portfolio of many types of projects and contractual schemes with rigorous active risk management. Therefore, Project Delivery at T.EN, represents a sound and robust base load for cash generation not just now but for the foreseeable future as you will see through our results presentation. Now on TPS; Technology Products & Services; our higher margin, faster growth segment. In many instances, TPS is the precursor to Project Delivery. It broadens our offering of proprietary solutions, it reinforces our differentiation through productization and technology scale up and it is the gateway to market with accelerated growth. For all these reasons, TPS is where our capital will be further deployed. Thanks to our success in PD and TPS and our balance sheet strength, we have the ability to venture and pioneer in adjacent business models. It's about generating recurring earnings and about longer-term value retention. In 2023, we started with Reju, a T.EN company that could be a €2 billion revenue company by 2034 subject to investment decisions. Before highlighting our full year achievements, let's revisit the transformative milestones from our November Capital Markets Day. We demonstrated how our strategic choices are paying off and discussed the promising future of our expanding market landscape with continued growth in energy and energy derivatives markets and faster double-digit growth in decarbonization and circularity. We also showcased a robust and diverse commercial pipeline valued at €75 billion through 2026. For the first time, we provided detailed financial guidance by business segment for 2025 and outlined an ambitious road map through 2028, ensuring consistency in free cash flow conversion in the 70% to 85% range. And we offered further insights on our strong balance sheet and our economic net cash position which has since grown to more than €1.4 billion. Lastly, we unveiled our capital allocation framework, emphasizing our dual priorities, dividend growth and strategic technology driven investments to enhance differentiation and accelerate value creation for our shareholders. Now turning to the highlights. Technip Energies delivered an outstanding 2024 performance for both revenue and earnings. This success is a testament to the ingenuity and commitment of our teams in their pursuit of excellence. Our operating results are stellar, boasting 14% growth in top line with revenues exceeding the top end of our Q3 upgraded guidance range at close to €7 billion. This robust top line growth paired with excellence in execution propelled a 13% increase in EBITDA to €608 million, translating to our highest-ever levels of EBIT and earnings per share. 2024 was also a year of great commercial success with more than €10 billion of order intake across our markets, including LNG and decarbonized power generation. Orders significantly outpaced revenues for both business segments driving our backlog to an all-time high approaching €20 billion. Based on the strength of these results and confidence in our business outlook, we are proposing a near 50% increase in annual dividend which Bruno will touch on in his remarks on capital allocation. T.EN is a company in motion and these strong results provide a springboard for the next chapter of our growth story. Moving to operational highlights. We celebrated important milestones in the fourth quarter throughout our diverse portfolio of projects and TPS. In Project Delivery, we achieved the pivotal ready-to-startup milestone on the Tortue FPSO for BP in Senegal and Mauritania. I am immensely proud of the collaborative approach developed with BP and our project team as well as our team's grit and unwavering determination to persevere on a project that faced many obstacles and find solutions to ultimately deliver successfully. Elsewhere in Project Delivery, we attained provisional acceptance on the Midor refinery expansion, while in TPS Project ONE for INEOS achieved successful rollout of the modular ethylene furnace from Thailand now on route to Belgium. Overall these accomplishments underscore our solid progress as we continue to execute our portfolio. Turning to order intake. We achieved over €10 billion in 2024 marking our second consecutive year surpassing this milestone. A notable aspect of our 2024 intake is the breadth of awards across different markets and geographies. And with the two-year book-to-bill at 1.6, our growth trajectory is well-supported. In LNG we reinforced our leadership during 2024 with two electrified and low emission plants in the Middle East. These projects define the next generation of LNG. We also positioned T.EN to play a future role in the US LNG market. A significant highlight in December was a major award for Net Zero Teesside Power in the UK, the world's first gas-fired power station with carbon capture and storage. NZT was the largest contract awarded to T.EN in 2024 and includes scope for both Project Delivery and TPS. This contract reinforces our leadership in carbon capture and benefits from a derisked hybrid contractual structure with UK construction scope performed on a reimbursable model. Turning to TPS, which achieved its highest-ever annual order intake at €2.2 billion benefiting from key technology and proprietary equipment orders in carbon capture and ethylene as well as robust services activity in traditional and new markets. In summary, I am thrilled with our commercial success in 2024 reaching €10 billion across a diversified blend of markets and geographies and supporting our value growth proposition. Before passing on to Bruno, let me share some exciting updates on our sustainability journey which is increasingly recognized by the market and leading rating agencies. Sustainability is deeply embedded in T.EN's business strategy with aspirations to achieve net zero emissions for Scope 1 and 2 by 2030 and Scope 2 by 2050. T.EN has achieved a 41% reduction in Scope 1 and 2 emissions when compared to 2021 and given this early success we are raising our emissions reduction targets from 30% to 45% by 2025. Other highlights include growth in investment and upskilling of our talents as well as successful implementation of monitoring processes to enhance the sustainability across our supply chain. Moving forward, we will enhance our sustainability goals with a strong commitment to integrity emphasizing further on robust governance and stakeholder engagement. I will now pass the call over to Bruno.
Bruno Vibert: Thanks, Arnaud and good afternoon, everyone. Turning to the highlights of our strong financial performance in 2024. Our revenues increased by 14% year-over-year reaching €6.9 billion just above the top end of the upgraded guidance range from Q3. This growth was driven by both business segments with significant contributions from LNG Qatar projects and steady growth in TPS. Recurring EBIT increased by 11% to reach a new high of €496 million benefiting from growth in revenue with margins comfortably within the guided range of 7% to 7.5%. EPS demonstrated a substantial 33% increase to €2.16 share due to strong operational performance higher net financial income and lower non-recurring items versus the prior year. Turning to orders. Adjusted order intake was €10 billion for the second consecutive year leading to a healthy book-to-bill ratio of 1.5. This drove a 25% year-over-year increase in backlog approaching €20 billion equivalent to nearly three times 2024 revenues. Fueled by solid cash flow generation, gross cash at year-end was €4.1 billion. In summary, the collective efforts and performance of our teams have resulted in an outstanding 2024 performance. Turning to our segment reporting and starting with Project Delivery where our 2024 performance demonstrates a buildup of activities. Revenues are up a significant 19% year-over-year to €4.1 billion, thanks to activity growth on Qatar LNG projects and offshore projects. Trends for segment EBITDA and EBIT are very similar. Both metrics increased by 12% year-over-year, and both saw a 50 basis point contraction in margin due to the rebalancing of our project portfolio with increased revenue contribution from early phase projects with limited margin recognition. Project Delivery margins remain however best-in-class. Finally, backlog increased by 26% year-over-year equivalent to 3.6 times the segment revenue for 2024, and benefiting from key awards in decarbonized power generation LNG and offshore. As outlined during our Capital Market Day in November, we have a large and diversified commercial pipeline for 2025 and 2026 that supports award momentum. All this underpins our trajectory through the medium term. Moving to Technology Products & Services. TPS revenues continue to be solid with top line reaching very close to €2 billion driven by renewable fuel services, PMC and higher volume of smaller projects and studies. TPS recurring EBITDA margin expanded by 30 basis points year-over-year to 12.9% benefiting from mix and business performance improvement within services. Recurring EBIT margins were stable at 9.6%, due to increased depreciation and amortization expense associated with higher capital investment and also the impact of IFRS 16. Commercially, a solid book-to-bill of 1.1 drove a 10% year-over-year increase in backlog to €2 billion, benefiting in particular from the proprietary equipment scope within the Net Zero Teesside Power award in December as well as sustained momentum in services and studies throughout the year. In summary, a solid TPS performance in 2024, which we intend to build on in 2025 as our strategy and commercial focus drives further success. Turning to other key performance items beginning with the income statement. Net financial income reached €120 million benefiting from cash investments and favorable global interest rates. Effective tax rate at 30.2% is within the guidance range of 29% to 33%. At the bottom line with the robustness of our earnings in relation to our equity, we achieved an attractive 19% return on equity. Finally, the balance sheet is robust with growth in gross cash to €4.1 billion. We also update for T.EN's economic net cash position, a disclosure we first gave at CMD, which adjusts for cash associated to project. The bridge from gross cash to T.EN's net cash is provided in the appendix but at €4.1 billion plus clearly provides T.EN with the flexibility to deploy capital into value accretive investment and shareholder returns. Now let's dive further into our cash flows. Free cash flow excluding working capital and provisions was €519 million with cash conversion from EBITDA at 85%, reflecting three main factors: our asset-light business model strength in operational execution and the positive impact of financial income derived from our cash. Working capital was an inflow of €230 million for the year. As I've discussed previously, working capital should be approximately neutral on a long-term basis as evidenced by the cumulative working capital impact since 2021, which is quite negligible. As outlined last quarter, the capital expenditure of €86 million, represents a significant year-over-year increase driven by investments in the Reju demonstration plant and the lease recognition of new offices in U.S. and Europe, which are contributing to our Scope 1 and 2 emission reduction targets. Additionally, when combining the dividend distributed in the second quarter with the completion of our €100 million buyback program T.EN returned over €170 million in cash to shareholders. Before talking about capital allocation I will briefly remind you of the 2025 guidance and 2028 framework that we first presented during our Capital Market Day and that we confirm today. In 2025, for Project Delivery, we see revenues of €5 billion to €5.4 billion and an EBITDA margin of around 8%. For TPS, we anticipate revenues to range from €2 billion to €2.2 billion with an EBITDA margin of 13.5%. The footnote gives you an indication of expected G&A, de facto giving you segment guidance for EBIT as well. You are most welcome. Moving to our 2028 framework. We uncapped Project Delivery top line and see controlled growth to €6 billion plus, with EBITDA margin expansion to around 8.5%. For TPS, our strategic growth segment, we see revenues increasing to more than €2.6 billion, with EBITDA margins reaching 14.5%. Other items such as effective tax rate, corporate costs and R&D are expected to be broadly consistent through 2028. One last element to consider which is more a capital allocation versus a guidance item is adjacent business models, such as Reju, where we expect to invest up to €50 million in 2025, treated as a nonrecurring and as we work towards potential investment decisions in late '25 or into 2026. In summary, we reaffirm our guidance and growth outlook to 2028. Moving now to capital allocation. Within our medium-term framework, we anticipate generating free cash flow of €2.2 billion and €2.6 billion cumulative between 2024 and 2028. And with more than €500 million generated in 2024, we are firmly on track. With our balance sheet in pristine health, our capital allocation strategy focuses on two key priorities. First, dividends. As earnings grow, so will dividends with a commitment to distribute a minimum of 25% to 35% of free cash flow. The dividend we propose today, represents a payout just north of 28%. Second, value accretive investments. We will apply the same discipline and selectivity to our investment decisions, as we do in our operations. Our rigorous framework for risk assessment and value creation ensures strict capital discipline. Our approach is twofold. We will pursue M&A to expand our TPS offering across geographies and markets with a clear focus on technology and products, where we can maximize value and achieve additional synergies in services and projects. As I just explained, we will also explore adjacent business models. In summary, our capital allocation strategy is designed to return cash to shareholders, while creating additional value through disciplined capital deployment. Before passing back to Arnaud, I will discuss shareholder returns. Building on the robust performance of our 2024 results and confidence in business outlook, we proposed a 49% increase of our annual dividend. This will see compound annual growth rate at an impressive 24% since our maiden dividend in 2021. Since company's inception, we have delivered substantial earnings and dividend growth and generated consistently strong returns and our investors have been rewarded with more than 140% total shareholder returns over four years. The good news is that our strategic choices are paying off. Our market positioning is strong and our value-accretive investment activities are only just getting started. We are really just at the beginning of our long-term value creation journey. I'll now turn the call back to Arnaud for the outlook.
Arnaud Pieton: Thank you, Bruno. Now on the market outlook and key trends enabling T.EN to thrive in any energy scenario. As mentioned during the CMD, the three megatrends of population urbanization and economic growth support our four markets covering more energy and chemicals with less emissions and waste. First, global demand for energy and energy derivatives is undisputably rising. Power consumption and the role of gas in mitigating intermittency are boosting natural gas and LNG demand. Additionally, the recent lift of the US LNG moratorium is expected to spur a renewed wave of LNG project investments. We continue to anticipate a capacity requirement in LNG of nearly 800 million tonnes per annum by 2030, as outlined in our CMD in November. Second, the push for decarbonization and emissions abatement is driving industries to pursue affordable sustainable development. Despite policy uncertainties in clean technology sectors, our customer engagements remain positive. In the US, the 45V update for the Inflation Reduction Act is seen as supportive, especially for blue hydrogen and blue ammonia projects, targeting demand from Japan and Korea. Moreover, our studies for numerous clients consider scenarios without subsidies or tax incentives. So any government support would enhance an already solid economic framework. In summary, the market is active with promising opportunities ahead. With our technological leadership, proven EPC capabilities and financial strength, T.EN is positioned to capitalize on our growing market and continuously improve our performance. In closing, we delivered an outstanding 2024 with robust earnings with an EPS up 33% and cash flows above €500 million. We achieved great commercial success with more than €10 billion of diversified high quality order intake, which drove backlog to a new height approaching €20 billion. With the tailwind of positive markets, we intend to build on our strong business momentum through resolute focus on execution, while capitalizing on high demand for T.EN's differentiated performing solution. We are committed to shareholder returns, proposing an almost 50% rise in the annual dividend. And as we continue to modernize T.EN and leverage on our unique expertise, we remain steadfast in our commitment to continuous innovation, smart engineering, excellence in execution and technology scale up. Through this unwavering approach, we can win the affordability battle, building the bridge between prosperity and sustainability for a world designed to last. With that, let's open the line for questions.
Operator: This is the conference operator, we will now begin the question-and-answer session. [Operator Instructions] First question is from Kate O'Sullivan, Citi. Please go ahead.
Kate O'Sullivan: Hi. Congrats on the results and thanks for taking my question. So first maybe on transition projects. You booked the significant Net Zero Teesside award in 4Q, and we heard from BP their strategy update yesterday about a limited number of low carbon projects this decade. So you have the FEED for BP low carbon hydrogen facility. Previously I think we mentioned expected in potentially 2Q 2025 an FID. So from your conversations with clients, do you see any change to the outlook or timeline? Also if you could give an indication on the scale of the award perhaps relative to Net Zero Teesside, and do you expect that you're bidding for it to be able to demonstrate many synergies through your existing work on Net Zero Teesside?
Arnaud Pieton: Hi, Kate. Thank you. So let me first make a statement about Net Zero Teesside. I think like you have listened to and replayed the BP conference yesterday and interacted with BP after their conference, and I want to reiterate our confidence in the fact that Net Zero Teesside is not at all threatened by BP's latest announcement around reduction in their I would say transition or low carbon energy investment. Net Zero Teesside is preserved because of a very specific, I would say funding structure that is not solely dependent on BP's capital. So that's point number one. So Net Zero Teesside is well under execution, no change to the plan. You're right to mention that we have a FEED ongoing for BP H2Teesside. The FEED continues and there is on our side no change of plan on this one. The ambition for the Teesside hub and the alliance and the low carbon alliance over there remains strong. I believe, the FID will be more a function of our client finding the necessary offtake for the blue hydrogen and the product. So this is very much what will drive the decision for FID and the timing of the FID. So we will stay tuned on this one. As for the synergies, yes, there will be likely synergies between the two projects in particular when it comes to construction resources and ability to mobilize. So we should be well-placed. It will be competitive, but we should have a bit of an advantage just because of already being on location.
Kate O'Sullivan: Perfect. And just on the scale of the award's potential Net Zero Teesside was, obviously, your biggest award in 2024, so just relative to that how you'd expect this award to look?
Arnaud Pieton: It would be, I would say much smaller. I mean it should be much smaller, still a significant project for T.EN but not in the same orbit as Net Zero Teesside.
Kate O'Sullivan: Okay. Thanks.
Operator: Next question is from Bertrand Hodee, Kepler Cheuvreux. Please go ahead.
Bertrand Hodee: Yes, hello. Thank you for taking my question. The first one is on the LNG dynamics in the US. We can feel some contradictory forces at work. Yes, the LNG moratorium has been lifted, but there is also the fears around tariffs, so that could probably complicate, I would say, a modularized approach, when it comes to constructing a LNG site in the US, and also tariffs imposed by China would probably make Chinese utilities, being more prudent in signing a new LNG offtake. So can you share your thoughts around your two major opportunities US Commonwealth LNG and US Lake Charles? And also, what are your discussion around those potential tariff threats and how you can mitigate those issues?
Arnaud Pieton: Hi, Bertrand, thanks for the question. So LNG in the US and contradictory forces. So first, we are tracking two major opportunities in the US as you know; Lake Charles LNG, which is signed in a sense and Commonwealth LNG which would be the first award for our SnapLNG modularized concept, if it reaches FID. Where are we at the moment? So the moratorium has been lifted, and I would say, with both developments, we are in a price verification campaign. In other words, this is work for which we are being paid, and naturally as a prudent company it is important that before reconfirming the price with the customer for those two developments, that we go through a price verification so that we give them an update on the actual cost of the infrastructure. So, that's something that was built into, I would say, the contract and the flow of activities that had to be done between late 2023 and into 2024. And at the time of the moratorium being lifted, we were committed and they were committed to paying T.EN for price verification to make sure that they and we would still be satisfied with the price on the project and its structure. So, that's what is ongoing at the moment. Then comes the subject of the permit and being ready to reach FID. So the FID for me, on those two projects, is really a second half event. It's not going to be an H1 2025 event, so at the earliest it's H2. Now, the tariffs. First of all, as a prudent contractor, I mean we T.EN won't be exposed to any risk associated to tariffs. So if tariffs were to be imposed, well our price and our cost base will exclude any tariffs. So the tariffs will be a risk for the client not a risk for T.EN. The risk for T.EN is as you highlighted, that the project doesn't reach FID because of tariffs being so high that they jeopardize the overall economics of the project. So, what we are working on at the moment, as part of the price verification exercise on those two projects is, to reconfirm where modules would be fabricated because in both cases the execution plan is assuming a highly modularized execution and maybe less more in other countries, in other parts of Asia; India Vietnam, Thailand, Indonesia. So it's part of the exercise to propose an execution plan, that would I would say at least mitigate partly, the risk on tariffs. As for the offtake, really that's more a question for our clients. Not enough in the detail of their discussions. But when I was in India, during India Energy Week, a few days ago, a lot of conversation around the increased import of US gas in India. So, there might be a bit less China, if tariffs are imposed by China on gas, but more of India. But that's more a question for those who do that on the day-to-day and really are customers.
Q – Bertrand Hodee: Thank you. And my second question is around the blue hydrogen opportunity, especially in the US, where you are pursuing several significant opportunities. In your earlier comments, you pointed or hinted that the pathway for blue hydrogen project in the US, despite Trump being in office, is not at all being jeopardized. Can you give us a feel of what could materialize for T.EN in the US, on the blue hydrogen space or more broadly, on also a post-conversion CCS project?
Arnaud Pieton:  Yes. So, I will give you a partial answer because there are some prospects that are I would say a little bit under the radar from the market and the competition and I would like to keep them this way, but I will provide some color. And we see some very positive progress for potential awards and FIDs for blue ammonia in the US in 2025 with very, very strong building blocks. There is one that is super well known, and that's the Baytown project with Exxon, for which we are executing the FEED and for which we are at the moment finalizing the EPC price. I think interacting with the clients they have very positive let's say, news or views on how the 45V is applied through the frontier production tax credit. So in other words, that means that probably the customer the client can achieve higher than the $0.6 per kilogram of hydrogen credit. So we understand that they are eligible for greater tax credit based on the conversation they've had in Washington and it's simply confirming their economic model or comforting their economic model. And as we've heard from several customers so the blue project I mean for as long as the EPC price is right of course don't seem to be threatened by the new administration. On the contrary I think the 45V update comfort them in the direction that they have taken. And so it makes of the US as you rightly pointed, a very interesting landscape for 2025 and 2026 in terms of order intake potential for T.EN because beyond LNG, you have the blue molecule; but also some carbon capture opportunities in North America with cement companies but also utilities post conversion. So we are hyperactive at the moment in the US on those commercial targets.
Bertrand Hodee: Thanks, Arnaud.
Operator: Next question is from Richard Dawson, Berenberg. Please go ahead.
Richard Dawson: Hi, good afternoon. Thank you for taking my questions. Two from my side. You reiterated value accretive investments as one of the capital allocation priorities and I appreciate you can't go into too much detail but could you maybe give us a flavor of any M&A opportunities that you're looking at and maybe time scales for that? And then maybe just secondly just a clarification. We saw Neste come out this month with higher investment requirements for its Rotterdam expansion project and some delays in the startup there. Given Technip Energy's involvement in that project, are there any impacts for you on that? Thank you.
Arnaud Pieton: So I'll start and hand over to Bruno on capital allocation. So Richard, the M&A; of course, I'm not going to disclose on this call the list of targets that we are looking at. But I can confirm like I stated in my remarks that, where we are going to deploy our capital is in TPS, so in the push for more technology and more proprietary products and potentially more services. More technology because with more technology comes more proprietary products and this gives, I would say a very positive volume impact to TPS. You've heard from Bruno about Net Zero Teesside contributing to both Project Delivery and TPS. Well that's because as part of the Scope 2 Net Zero Teesside comes a proprietary product related to the carbon capture technology that we have codeveloped, for which we have collaborated with Shell. So we've seen that this investment in the capture technology has led to a proprietary product, such as CO2 absorber for example, that now forms part of our catalog of proprietary solutions. So the catalog is being enriched and we were very pleased to see our technology being selected. The projects contribute to both Project Delivery and TPS. So we need and we want more of that going forward. That's what we tried to convey during the CMD as well. So no change to that. Capital will be deployed where there is technology and an opportunity to grow the portfolio of proprietary solutions. The second part of your question was about Neste. So Neste, in terms of the impact on T.EN. So with Neste, we are working on a services model, so purely reimbursable. So in other words, there is no impact on T.EN of the delays faced by Neste. So it's a very particular setup. We are not driving the show fully. We are alongside Neste and we are addressing with them some of the construction issues related to a difficult situation with some of the subcontractors, lack of availability, competition, et cetera et cetera. But I mean there is no net negative impact on Technip Energies, due to the model that we've selected with Neste. It's a pure service reimbursable model and that speaks again I would say to the pertinence of the model that we've selected with Neste on this project. There's a reason why we are following this path and have selected this contracting scheme. And there's a reason why also while we are very excited about the US market, we always stated we would never take lump sum construction risk or lump sum risk in country in the US and we are pushing for that model as well. So back to what I stated during the CMD, it is very much about the active management of the portfolio and making sure that you have what you need in terms of the blend between lump sum and reimbursable and/or open book estimates et cetera. So again, Neste purely reimbursable, so no negative impact on T.EN.
Richard Dawson: Thank you. Great to hear the model is working. Thanks very much.
Operator: Next question is from Jean-Luc Romain CIC Market Solutions. Please go ahead.
Jean-Luc Romain: You were mentioning carbon capture projects by utilities in the US. We are seeing oil majors announcing power generation projects for the needs of IA. Do you see them installing carbon capture immediately on those projects or maybe just keeping the optionality to install it later?
Arnaud Pieton: So in our projection and growth path we are not really -- our business plan does not include a vast acceleration of the carbon capture deployment on power gen attached to data centers. So the conversations are to deploy carbon capture. First of all, for carbon capture to deploy you need sequestration. If you don't have sequestration or a pipeline next to it, then there's no point talking about capture. So the location of the power gen and the data center has to be such that there is close proximity to an existing pipeline or a reservoir for -- a geology for sequestration. So that's point number one. Point number two, our discussions are more with utilities on existing plants than brand new power plants being built towards data centers. And three, yes, we are scouting for potentially joint offering between those who are also large contributors to the data centers or providers of equipment or turbines not to name them. So the question is, is there something that can be bundled in terms of an offering to someone who would want to invest into a data center combining latest generation turbines plus CO2 capture capacity. So this is I would say in terms of prospects and in terms of strategic marketing that directionally is something that we are tracking. Too early to say whether this will have an impact. So our long-term plan or medium-term plan at Technip Energies, does not include a massive spike of carbon capture deployment on power gen directly attached to AI and data centers.
Jean-Luc Romain: Thank you.
Operator: Next question is from Sebastian Erskine, Redburn Atlantic. Please go ahead.
Sebastian Erskine: Good afternoon, Bruno and team. Many congratulations on the results today and the dividend increase. Three, if I may. I just want to start by following up on Kate's question on the UK. It's clearly an exciting market driven by CCS; the Net Zero Teesside awards H2Teesside, Harbour's Viking CCS and now the FEED on Uniper's Connah's Quay. I guess you talked at the CMD about limits on construction resource. So how many of these prospects would you hope to convert in the next two to three years, and how do you prioritize them? Secondly on Reju, you've now said sort of targeting FID of the first two regeneration hubs for the end of 2025, but clearly, you'll demand an accretion to group returns I think sort of 12% to 13% of group ROIC. So it seems on track. But I guess if you could give us some color on the timing and quantum of when we can expect to see a shift from OpEx to CapEx that would be helpful. And then finally, on the 2025 and 2028 guidance, some color on the moving parts behind that. I got the sense perhaps that the 2028 framework baked in a degree of conservatism vis-a-vis the IRA. So I guess what would need to go better than expected for upwards pressure on both of those frameworks? Thank you.
Arnaud Pieton: Okay. So that's a very vast set of questions, Sebastian. But I will take the first two and so that you get to hear Bruno as well, I'll give him the third one. So Net Zero Teesside or I would say the UK in general. Maybe a bit of color on Net Zero Teesside. The construction will be executed as you know with Balfour Beatty, the construction partner that we have selected for this venture. The headcount to be deployed on Net Zero Teesside at peak is around 2,000 people. So it is not comparable with what we are deploying in Qatar on large LNG project where we have north of 40,000 people at the moment working on NFE and NFS. So, the scale of the project in terms of headcount is not as large as what we have in the Middle East for example. So, it's more contained therefore a bit more manageable. I remind you that the Net Zero Teesside construction is executed on a reimbursable basis. So, as well as what I've discussed a bit a minute ago on Neste, we have derisked I would say that aspect of the project. So, we've announced a FEED for Canopy for more carbon capture. Well, a bit of the same story. We will work with the customer on finding the contracting structure and contracting model that works, but we will continue to protect ourselves against the potential shortage of resources in the U.K. I hope -- and I'm confident that the relationship we are building with Balfour Beatty on Net Zero Teesside could be a segue for further collaboration on other similar projects in the U.K. as we build experience and get to know one another. So, we would bet on that momentum but you can rely on Technip Energies to be selective and maybe be naturally selective in a sense that if we cannot reach an agreement with the customer on finding a derisked contracting model then the project is not for Technip Energies and therefore we won't take the project. So, from that standpoint, we would just simply derisk the topic of access to resources. Reju, so Reju is making progress. We have the demonstration plant being commissioned and starting and working in Germany. There are conditions for us to reach an award and a final investment decision on Reju. There are several conditions. First, the commissioning of the demonstration plant has to happen and we are well underway and satisfied with how the technology is performing. So, that's extremely encouraging. Then we need feedstock secured for several years of operation of the first two plants at the right price because we will not take risk on feedstock. This is very clear. And we also will not be taking risk on offtake. So, we need feedstock and offtake well secured. We also need what I will call the Reju guarantee secured i.e. the blockchain solution to guarantee the circularity along the way from feedstock selection all the way to the final product to the end consumer. That also needs to be in place. Site selection is ongoing for one plant in Europe and one plant in the U.S. So, we have a good idea of where we want those plants to be. Some may be announced before the summer we'll see. And then it's about fine-tuning the model. And depending on the price of the feedstock and the price at which we can sell the product with offtakers this will basically tell us whether we have something or not. Right now, no showstopper and we are feeling very good about it. But if we take a final investment decision on the first two plants let's say late this year or Q1 2026 then you need a couple of years to have them built and in operation. So you would be into 2028 before you see production of the two plants. But I will insist on the fact that Technip Energies we are not gamblers. So, we will make final investment decision as we have all that I said secured; feedstock offtake technology as well as the Reju guarantee in order to be able to prove the circularity of the product along the way from the start to completion and back to the start. This is extremely important to Technip Energies. On capital, on the last one, Bruno.
Bruno Vibert: Yes. On the guidance and the framework and some of the building blocks. So, guidance well-backed, Arnaud mentioned it earlier in the call by the backlog for 2025 even more so of course for Project Delivery long cycle business who is having a very high coverage of the guidance with the backlog that we have in hand. So, it's going to be about execution. As always for the shorter cycle TPS business, always a bit more to deliver as we will have [indiscernible] during the year. But the momentum on TPS remains strong. After a couple of quarters where we were having let's say slightly lower than one book-to-bill. As I indicated in the Q3 call, we reversed and backlog of TPS has grown quite meaningfully in Q4. If we project to 2028 for the medium-term framework yes we start with the €20 billion backlog that we have in hand up close to €4 billion versus where we were in Q3. Of course that's the first major point. Second, the €75 billion of opportunities that we had highlighted in our CMD still very much present and what's great about this pipeline it's very diversified by geographies, by markets. So we absolutely do not rely on any of geographies or market or one project to be able to deliver that. So as Arnaud was saying, we can absolutely and we will absolutely remain very disciplined and consistent in the way we approach with no must-win projects and that will be the right projects, with the right risk criteria, the right hybrid model of risk which we onboard, risk we don’t onboard notably for construction that have the right execution setup that we will make to our backlog. So standing here today, we feel very good about the opportunities and the building block to reach both basically segment medium-term framework kind of trajectory. So it's all about now continuing to differentiate and continuing to present to our clients the right execution setup so that the projects economics match their own investment decision criteria. But we have quite a few things in hand to really be on track to this target.
Sebastian Erskine: Appreciate that. Thanks very much.
Operator: [Operator Instructions] The next question is from Jamie Franklin, Jefferies. Please go ahead.
Jamie Franklin: Oh. Hi there. Thank you for taking my questions. So firstly just on order intake. Obviously very strong orders in the quarter which came in about €1.5 billion above consensus, I think the market was expecting NZT award to come in around €2 billion to €3 billion and Suriname, just about €1 billion. So just trying to work out what the delta is here. Is it that NZT was above that kind of €2 billion to €3 billion range or was the delta primarily smaller unannounced projects? And also if you could give us a bit of a guide on how much of NZT is in the TPS backlog now? And then secondly, I think you kind of answered this already, but your backlog is very much secure on the projects business for 2025. We don't have the kind of historic backlog phasing by division that you've kindly given us this year. So just trying to get a sense of the typical level of short cycle work in the projects business, if any? Thank you.
Bruno Vibert: Hi. Jamie. So I can start with both the questions. And then Arnaud can complement. So on the first one and the orders. So yes, as you had noted two main awards during the quarter; NZT and Suriname. Now we had somewhat indicated NZT from €2 billion to €3 billion. It's within this range. It's making on the higher part of this range versus taking a mid-assumption and as well for Suriname above €1 billion meaning, it can be a bit more above €1 billion. So I think these were clearly the two strong contributors. But on top of that you had some more traditional unannounced awards, because it's smaller projects, because it’s VOs, because it's projects that go in steps with limited notice to proceed or early work that will gradually make it into our backlog towards an FID. So you had a bit of those that complement and that are unannounced as per the request of the client, so overall a significant contribution. Now, we are not really announcing or splitting the NZT award between project and TPS, because when we will talk about a lot of these awards of carbon capture, we will provide the main equipment and absorber for the main scope of the carbon capture plus work around projects. Now each project sometimes will be different. So although there will be meaningful contributions from TPS scope in some of these future carbon capture just as there is in Net Zero Teesside, it won't be really easy to make kind of a rule of thumb and say each project will have exactly the same because the blend of the project from the geography, from the scope of work, from the type of work we take or not take will be slightly different. So this is why although, it will contribute to both; it has and it will; for a project, it's difficult to have one exact calculation that will apply for all.
Operator: Final question is from Daniel Thomson, BNP Paribas Exane. Please go ahead.
Daniel Thomson: Hi. Congrats on the solid quarter. Maybe just I wanted to touch on the ethylene market and tendering opportunity set. That kind of market has been a bit slower in 2024. How does the bidding pipeline going into this year compare to maybe what you saw at the beginning of last year? Are you seeing any sort of signs of improvement in projects moving forward in that market? Thank you.
Arnaud Pieton: Hi, Daniel. We see a recovery 2025, 2026 on this market. So, difficult to say whether it's going to be as early as 2025 or 2026. I think 2025 we will see nonetheless customers making a commitment on the technology and the proprietary equipment. So technology selection and equipment selection taking place in 2025. We have a couple of them on the horizon with a high level of certainty, and then, probably FID on projects into 2026. That's what I would guess is going to happen. But equipment selection and technology selection some will happen this year.
Daniel Thomson: Thanks. And is that concentrated in any particular region or is it broad-based?
Arnaud Pieton: No. It's broad-based, but it's between the U.S. and Middle East, mostly for us now, yes.
Daniel Thomson: Got it. Thank you.
Operator: Lindsay, there are no more questions registered at this time.
Phil Lindsay: Thank you. That concludes today's call. Please contact the IR team with any follow-up questions. Thank you and goodbye.